Operator: Good day, everyone, and welcome to the Oxford Industries Inc. Second Quarter Fiscal 2012 Financial Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Ms. Anne Shoemaker, Treasurer. Please go ahead, ma'am. 
Anne Shoemaker: Thank you, Jamie, and good afternoon, everyone. Before we begin, I would like to remind participants that certain statements made on today's call and in the Q&A session may constitute forward-looking statements within the meaning of the federal securities laws. Forward-looking statements are not guarantees and actual results may differ materially from those expressed or implied in the forward-looking statements. Important factors that could cause actual results of operations or our financial condition to differ are discussed in the documents filed by us with the SEC. We undertake no duty to update any forward-looking statements.
 Also, during this call, we will be discussing certain non-GAAP financial measures. You can find a reconciliation of these non-GAAP financial measures to GAAP financial measures in our press release issued earlier today, which is posted under the Investor Relations tab of our website at oxfordinc.com.
 And now, I'd like to introduce today's call participants. With me today are Hicks Lanier, Chairman and CEO; Tom Chubb, President; Scott Grassmyer, CFO; Terry Pillow, CEO of Tommy Bahama; and Doug Wood, President of Tommy Bahama. 
 Thank you for your attention, and now I'd like to turn the call over to Hicks Lanier. 
J. Lanier: Good afternoon, and then thank you for joining us to discuss our second quarter results. We are pleased to report strong growth in both sales and earnings for the second quarter driven in particular by excellent performances in our Tommy Bahama and Lilly Pulitzer direct-to-consumer businesses. We achieved these results while, at the same time, making significant investments in the future growth of our company. Among other things, we signed a lease for a Tommy Bahama retail store that will open later this year in Hong Kong, bought the business of our Australian Tommy Bahama licensee and recruited a highly qualified executive to serve as senior managing director of Tommy Bahama International. We also continue to expand the Lilly Pulitzer direct-to-consumer footprint by opening 3 stores so far this year, and we expect to open a fourth in December.
 Finally, we were able to significantly improve our already strong balance sheet by completing the redemption of our Senior Secured Notes and increasing our revolving credit facility to $235 million. We believe the amended revolver is very attractively priced and gives us ample financial capacity to execute our strategy.
 As we begin the second half, the health of our key growth brands is outstanding, and our people are well-prepared to complete a great year. 
 I'll return with some closing comments before Q&A, but I'd like to now turn the call over to Terry Pillow to discuss Tommy Bahama's results for the quarter. Terry? 
Terry Pillow: Thank you, Hicks. The strong momentum in the Tommy Bahama business continued through the second quarter. Sales in the second quarter were fueled by the best Mother's Day we have ever had, and we were fortunate to then head into a very strong Father's Day. Net sales for the second quarter of fiscal 2012 increased 16.8% to $127.5 million. Comparable store sales in our full-price stores were in the low double digits. And we saw substantial increases in our e-commerce channel of distribution.
 The fastest-growing segment of our direct-to-consumer business was women's, which grew 29% over last year. The women's business was led by dresses and accessories, and the men's continued to see growth in both knits and wovens. We also had a modest increase in our wholesale business for the quarter.
 At the end of the second quarter, we operated 105 retail stores compared to 90 on July 30, 2011. We opened 4 new stores in the United States and one in Singapore in the second quarter. In July, we also acquired our Australian license business and folded into our international operations. The licensee operated 4 small resort retail stores and one outlet, as well as unlimited wholesale distribution. We expect this to be a good market for Tommy Bahama, with an opportunity for future growth in major Australian cities.
 We continue to build our international infrastructure with systems and staffing. During the second quarter, we added a very experienced Hong Kong-based senior managing director of international to the Tommy Bahama team. 
 SG&A increased in the quarter, primarily ready to [ph] growth initiatives for the brand. In addition to costs associated with operating additional retail stores, the second quarter of fiscal 2012 included a negative impact to operating income of approximately $3.5 million related to certain infrastructure, preopening rent and other costs associated with Tommy Bahama's international expansion and upcoming New York store. This consisted of $4 million of expenses, partially offset by $500,000 of gross margin of sales in our international stores. As a result, Tommy Bahama's operating income for the second quarter was $16.6 million compared to $17 million in the quarter of fiscal 2011.
 We are looking forward to November when we plan to roll out 3 high-profile retail stores. During the quarter, we signed a lease and began a buildout of our 5,000 square-foot store in the Wan Chai District of Hong Kong. This is a very attractive street location, giving us a major store in this important international gateway. Our plans are to open this store in early November.
 Tommy Bahama sails into Manhattan Island. Our marketing plans for holiday included well-integrated approach using mailers, our website and an extensive preopening marketing campaign in New York. A new barricade wrap will be at our New York site in the next few weeks, reflecting this holiday marketing campaign, and we expect to open both our New York flagship and our Michigan Avenue store in Chicago in mid-November. 
 We clearly have a lot of important brand-growing initiatives that we believe this is, along with a fantastic product and exciting integrated marketing campaign, sets us up well for the holiday season.
 Now I'll turn the call over to Tom Chubb to discuss results for the rest of our operating groups. 
Thomas Chubb: Thanks, Terry. Good afternoon, everyone, and thank you for joining us. Lilly Pulitzer reported a net sales increase of 24.5% to $30.9 million for the quarter. All channels of distribution reported increases. We saw a high single-digit comparable store sales increases and significant increases in both e-commerce and wholesale. We saw growth in all product categories with particular strength in sportswear. As a result of the increased sales and gross margins, Lilly Pulitzer's operating income increased 32% to $7.4 million from $5.6 million in the second quarter of fiscal 2011. Operating margins were a very strong 24%.
 Lilly Pulitzer has opened 3 stores in 2012: South Park in Charlotte, Phipps Plaza in Atlanta and Towson Town Center in Baltimore. Each of these stores represents our smaller store model, and we couldn't be more delighted with their performance. A fourth store is planned for December in Tysons Galleria in suburban Washington D.C., and we are filling the pipeline quickly. 
 E-commerce also continues to impress with dramatic growth. E-commerce is well-established as a full-price vehicle. In addition, our semiannual e-commerce sales are proving to be a very effective clearance channel while, at the same time, creating tremendous excitement among diehard Lilly fans, as well as introducing new customers to the brand. Fall will remain our smallest season by far. That said, our fall collection is selling well, and we will be well positioned for the upcoming resort holiday season.
 We saw a modest but important progress at Ben Sherman this quarter, notwithstanding a very difficult consumer climate in the U.K. and Europe. Ben Sherman reported slightly lower sales of $20.1 million for the second quarter, compared to $20.9 million in the second quarter of fiscal 2011, but improved operating results with an operating loss of $1.5 million compared to an operating loss of $1.8 million in the same period last year. The improvement in operating results was primarily due to higher gross margins, partially offset by the lower sales and decreased royalty income. 
 Net sales for Lanier Clothes increased 8.1% to $24.8 million in the second quarter of fiscal 2012. Operating income in the second quarter was $2.4 million, slightly ahead of last year's operating income of $2.3 million. With an operating margin of 9.7%, Lanier continues to make solid contributions to our business.
 Corporate and Other reported an operating loss of $4.6 million for the second quarter of fiscal 2012 compared to an operating loss of $5.4 million in the second quarter of fiscal 2011, with the improved results reflecting the favorable impact of LIFO accounting. 
 I'll now hand the call over to Scott Grassmyer to comment on our consolidated financial results. 
K. Grassmyer: Thanks, Tom. I'll now walk through our consolidated results. As Hicks mentioned, we had a strong sales increase over last year, and, as a result, earnings from continuing operations on an adjusted basis increased to $0.55 per share compared to $0.57 per share last year. On a U.S. GAAP basis, earnings from continuing operations per diluted share were $0.30 in the second quarter of fiscal 2012, compared to $0.21 the same period of the prior year.
 Adjusted earnings per share for both periods excludes charges related to the repurchases, Senior Secured Notes, a change in the fair value contingent consideration and LIFO accounting adjustments.
 Consolidated gross margins increased modestly to 57.2% of sales, compared to 57% in the second quarter of fiscal 2011 reflecting the favorable impact of LIFO accounting. SG&A for the second quarter fiscal 2012 was $100.7 million, or 48.7% of net sales, compared, to $88.6 million or 49.1% of net sales in the second quarter of fiscal 2011. The company achieved this modest leveraging of SG&A while making investments of approximately $4 million in the Tommy Bahama international expansion in New York store.
 We continue to incur preopening rent expense as we build out New York, Tokyo and now our store in Hong Kong. The increase in SG&A dollars was primarily due to the above-mentioned investments. The cost of operating additional retail stores and other SG&A expenses support the growing Tommy Bahama and Lilly Pulitzer businesses.
 Royalties and other operating income for the second quarter of fiscal 2012 were $3.3 million, compared to $4 million in the second quarter of fiscal 2011. The decrease is primarily due to lower royalty income in Ben Sherman due to the impact of microeconomic --  macroeconomic conditions on international licensees and transitions between certain licensees. We are very pleased with the 14.7% increase in operating income for the quarter to $20.3 million.
 Interest expense for the second quarter fiscal 2012 was $3.3 million compared to $4.3 million in the second quarter of fiscal 2011. The decrease in interest expense was primarily due to the repurchase of 45 million of our 11 3/8% Senior Secured Notes last year. This July, we redeemed the remaining 105 million outstanding notes, which will result in further decreases to interest expense going forward. We anticipate that interest expense for each of the third and fourth quarters of fiscal 2012 will be approximately $1.1 million. 
 The effective tax rate, the second quarter fiscal 2012 was 36%, higher than last year's rate of 32.2%. The effective tax rate in both periods benefited from certain discrete items.
 Total inventories at the close of the second quarter of fiscal 2012 were $88.4 million, compared to $77.7 million, at the close of the second quarter of fiscal 2011. Our increased inventory levels reflect the anticipated sales growth and the operation of additional retail stores by Tommy Bahama and Lilly Pulitzer. 
 As Hicks mentioned, in the second quarter of fiscal 2012, we made important changes in our capital structure. In June 2012, we amended and restated our U.S. revolving credit facility – new credit agreement. The facility increased from $175 million to $235 million, with additional borrowing capacity provided by the inclusion of certain trademarks as collateral. In July 2012, we redeemed all of our outstanding 11 3/8% Senior Secured Notes, which were scheduled to mature in July 2015. Redemption of the $105 million in notes resulted in a $9.1 million charge comprised of a $6 million premium payment and the write-off of approximately $3.1 million of unamortized deferred financing cost and unamortized bond discount. Redemption of the notes was funded through borrowings under our U.S. revolving credit agreement and cash on hand.
 As of July 28, 2012, we had $95.2 million of borrowings outstanding and $95.1 million of unused availability under this credit agreement. As we continue to make investments in our brands, capital expenditures for fiscal 2012, including $27.3 million incurred during the first half of fiscal 2012 are expected to be approximately $60 million. These expenditures consist primarily of costs associated with opening new retail stores in U.S. and Asia, information technology investments, retail store remodeling and distributions that are enhancements.
 For fiscal 2012, we affirmed our previously issued guidance of adjusted earnings from continuing operations per diluted share in a range of $2.85 to $2.95, and net sales of $850 million to $865 million. 
 I'd note that we were able to affirm our previously issued guidance despite the increased impact of expenses associated with the Tommy Bahama international rollout and the New York store. The earnings estimates for the year include a negative impact to operating income of approximately $14 million compared to our early estimate of $12 million. The increase is primarily due to pre-opening expenses associated with the high-profile store in Hong Kong, the addition of a senior managing director of international and costs associated with the acquisition of Tommy Bahama's Australia license business. We've already incurred $5.9 million of the estimated $14 million during the first half of the year.
 For the third quarter ending on October 27, 2012, the company anticipates net sales in a range from $175 million to $185 million and adjusted earnings from continuing operations per diluted share of $0.18 to $0.23. The seasonality of the Tommy Bahama and Lilly Pulitzer businesses and their significance to our results, the third quarter is a small sales quarter. This, along with the fixed expense structure of our retail businesses, results in a lower operating margin compared to other quarters. Our Board of Directors has approved a cash dividend of $0.15 per share. Oxford has paid dividends every quarter since it became publicly owned in 1960. 
 Thanks for your attention, and now I'll turn the call back over to Hicks Lanier. 
J. Lanier: Thank you, Scott. Thanks for your attention today, and I believe we're now ready to take your questions. Jamie? 
Operator: [Operator Instructions] And we'll take our first question from Edward Yruma with KeyBanc Capital Markets. 
Edward Yruma: You guys gave some interesting statistics on the growth of the women's business. We've noticed that you've increased the amount of square footage that women's has received in a number of stores. Can you talk about the difference in performance in the women's business when you've added in incremental square footage? And if that's been a meaningful lift to your results? 
J. Lanier: Terry, you like to take that? 
Terry Pillow: This is Terry. I'm glad you noticed. We have been -- as our product has gotten better, which it has since the last few seasons and the last few years, we have started allocating a bit more floor space, especially in some of the new stores that we're opening, and I can tell you that it's proportionately performing quite well. That even where we haven't increased the percentage of floor space, we're seeing increases as well. So it's not just the increases we're seeing in women's is because we've allocated more space to it, it's organic all the way through our women's business. So it's coming from both, but in some of the stores -- we were just in one the other day, and clearly, we have a breadth of product right now that when we're able to show that in the stores clearly, the guests respond to it. So it's coming from both angles. 
Edward Yruma: Got you. And how should we think about the opportunity for the Tommy Bahama women's product in the wholesale channel other than swim, which you guys seem to have a pretty wide distribution of? 
Terry Pillow: We do have a very good distribution of swim. And then on the wholesale side of women's, as we do most things, it's a crawl, walk, run. We're just starting to get some traction on wholesale and sportswear for us, but we want to make sure that we've got it right. We now do things, we have it right and we'll start pursuing wholesale business, but it will come in due time. 
Edward Yruma: Great. And my follow-up question on Lilly Pulitzer. I know you guys talked about success with your recent store remodel or your store size. If we think about this longer term, what do you think the right store opening cadence is for this business a couple of years out? 
Thomas Chubb: Ed, growth is obviously important to us and what we're looking for is sustained profitable growth. And as you know, Lilly has really exceeded our plans in the first 2 years that we've had it. We've been very pleased with the pace, obviously, it's growing at more than 20% a year. That's a good pace. They went from opening no stores for the several years before we bottomed and no stores during the first year we owned them, to having opened 3 this year and a fourth planned for later in the year. At present, we think it's at least 3 to 4 next year, but there are things going on where we're adding infrastructure within the business to support retail store growth. And like Terry commented on the women's wholesale for Tommy, we're going to take a crawl, walk, run approach and make sure we don't get it out in front of ourselves. But I think the store opening pace will pick up as the years go by. But I would still think in the 3 to 4 range for next year. And we'll keep updating you quarterly on that. 
Operator: We'll take our next question from Eric Beder with Brean Murray. 
Eric Beder: For Lilly Pulitzer, could you talk about -- I know that Lilly Pulitzer has done very well with dresses, now entering fall where it's not as strong. What should be kind of the -- you talked about white pants, other -- what are the kind of key items for fall aside from dresses for Lilly Pulitzer? 
Thomas Chubb: Well, I think, the first delivery of fall for Lilly Pulitzer, Eric, they basically have 3: 7/25, 8/25, 9/25. The 7/25 delivery was knit dresses, which were in Lilly Pulitzer colors, but all sort of Lilly Pulitzer colors. And if you go on the website, you can see them, there a lot of, sort of beautiful, what they call jewel toned colors, and I think they worked well for Lilly. So that was the key look for 7/25. We've been pleased with the selling results. The 8/25 delivery, which has only been out there roughly a week, not even a week yet, but it's printed tops and colored bottoms, and the initial selling on that has been quite good. And again, these are -- this is something that's not too big of a stretch for Lilly but, at the same time, it is legitimate fall product. And then the 9/25 delivery is party dresses that are in, again, sort of fall fabrications and colors, but still consistent with the Lilly Pulitzer DNA. And I think that they -- everybody in the business feels very good about them. Third quarter is a very small quarter for us, Eric, and it's -- third and fourth are both small. That's probably going to continue to stay that way, but we are seeing some success in what we're doing there. 
Eric Beder: Okay. In [indiscernible]  women's, you said before you're about 30% of sales in women's. Is that' still about the number? Or has it gone up a little bit? 
K. Grassmyer: It's hedging up, but you're pretty on with the 30% number. But as I've always said, Eric, our goal is to get it towards half our business and it's growing nicely over the last couple of years. We're encouraged by the growth that we see. The good news about that is the reason we’re having a hard time getting in over 30%, the men's business keeps growing, which is kind of a high quality problem to have, but it makes a little bit harder to get to that. So we're still charging that. 
Eric Beder: Okay. And how should we think -- you took over the Australia distributorship, how should we think about impact of that, I guess, on this year and going forward? 
K. Grassmyer: I'll let Doug Wood handle that. 
Douglas Wood: You know, we're excited about Australia, but it's a really small business today and undeveloped. We're looking at next year, of adding at least one store, possibly, in Sydney, and to try to grow some more of the wholesale business there. But overall, it’s still going to be a very small business for us. 
Eric Beder: And I guess the question is, last question to you, did any of the Chicago’s -- or any of your store openings pushed out in Q3 into Q4 get pushed back in Q3 to kind of make it a little more Q4 weighted than how the industry had? 
Douglas Wood: No, we were always -- these are the target dates  we've had on these stores, that we've had Chicago and New York. I think we would've loved to open the New York in -- end of October but it just -- we're not going to push it. These are stores that are very high-profile stores. We need to get them right and we will. 
Operator: And we'll take our next question from Robin Murchison with SunTrust. 
Robin Murchison: I got, I think, a question for everybody here. Let me start with Lilly Pulitzer and kind of piggybacking off of Eric's questions. In terms of the third quarter, is there a tick up in SKU count? I mean, I've seen the new product and it strikes me as the tick up, but I'm just wondering if there's an expansion there? 
Thomas Chubb: I don't think there's a material increase in SKUs for the third quarter. I can't state that with absolute certainty, but getting over assorted is never a great thing in our business and it's an area of focus for the management team at Lilly. They try to keep the line from getting too big and I don't believe we've got a material uptick for Q3. 
Robin Murchison: Okay. Having visited the fifth Lilly store, the personalization and the nice touches, and the store looked fabulous, but then I have to admit in my analyst mind and thinking good gracious, how much did this cost to buildout? Can you just -- is that the prototype going forward? There's a lot of individual hand-painted and personalized stuff going on in the store, more than I usually see in specialty stores. 
Thomas Chubb: That's a great question. And what Robin is referring to, for those of you haven't been in one of the newer Lilly Pulitzer stores, is that the -- a lot of the decoration is individualized and sort of tailored to the localities of the Atlanta store. Includes a lot of sort of Georgia references, peach flowers and peaches and magnolias and magnolia blossoms and that kind of thing. As to the cost of it, Robin, it turns out it's actually fairly economical for us to do that. The buildout that we see in Lilly Pulitzer per square foot is -- currently is comparable to what we see in Tommy Bahama where we're opening a lot of stores, and it's a very manageable expense. That painting is actually done by our print design team. They sort of -- they plan out what they're going to do, the creative team up in King of Prussia, and then they actually fly down for a couple of days, sort of the week before store opening, and do that painting by hand. In fact, I believe you can go to the website right now, and there should be a video on there of the decoration process of the new store that opened recently in Towson, Maryland. It's quite entertaining to watch, but also would help answer your question, all the ladies you see in that video are part of the print team from Lilly. 
Robin Murchison: Well, it's beautiful store and as you do with all of your stores. Will you comment on the Lilly web crash and -- but I mean, I think that your sale, the first day it was down -- at least seem to be down half the day and I know you did extend the sale a day or so. Are you able to -- were you able to kind of correct it so the next time that doesn't happen? Or what can you tell us about that? Did you -- were you able to get what you wanted out of the sale? And how did it all shake out? 
Thomas Chubb: It basically, Robin, it was what our Chairman, Hicks Lanier, your good friend, would call a high-class problem that demand so far exceeded our wildest expectations that even though we prepared for and tested for very high volume, it just went so far by our even our upside expectations that it did crash for most of the first day, so that we did extend the sale, and it absolutely blew away our expectations. Obviously, a little bit of frustration for customers. But fortunately, they were willing to stick with us, and we just did a massive amount of business. So it was a very effective clearance channel for us and at the same time, we think it created -- actually created a lot of excitement. As you know, the Lilly consumer tends to be quite enthusiastic about the brand, and it's a party, basically. 
Robin Murchison: Two more, if I may, we'll switch gears for a second. Ben Sherman, I just -- you're obviously coming up against some easy -- easing averaging at cost, but can we just hear also what you're thinking in terms of -- we've all waited so long sort of for some sort of a turn in this business. How are you feeling about the brand now? Is there anything to say coming out of some of the menswear shows there in Italy or more recently, magic that you can share with us on that division? And then for Tommy, just relative to the Asian performance and the on-again off-again slowdown that we continue to hear regarding Asia, any changes there and expectations? 
Thomas Chubb: Okay. Robin, I'll handle the first one about Ben Sherman and flip it over to Terry and Doug to talk about Tommy Bahama maybe. But with regard to Ben Sherman, I think, Robin, as you know, we've been in this painful process of trying to reposition the brand upwards. I think we've had some success with that. It's been more difficult than we would've hoped. I think a lot of that has to do with the economic situation in the U.K. which is, by far, our biggest market, and to a lesser degree in Continental Europe. That said, coming out of the menswear shows, both the Pidi [ph] show in Italy and then the Las Vegas shows, as well as sort of selling in the U.K., we're in the middle of booking Spring/Summer '13. Where we are now, we project that we will have a nice increase versus Spring/Summer '12, but we still have some work to be done before we have secured all the bookings. And then I think most importantly, we expect that, well, really 2 things. I think that our -- the proportion of better product that we're booking versus the old legacy type product will be much higher for this spring than last spring. So we are making progress in the repositioning. And then the second thing is that the gross margins are in much, much better shape. In fact, that even showed up some this quarter although you can't fully see it, but we've started to see very meaningful improvement in gross margins there where if you know they -- Ben Sherman probably got hit the hardest by some of the cost issues of any of our businesses, but they have started to recover nicely from at least that issue. Still plenty of challenges, but the gross margin picture is looking a lot better. 
Terry Pillow: Okay, Robin, this is Terry. I'll answer your question on international. As you know, we've got 2 stores opened, Macau, which both stores are very encouraging, quite honestly. The Macau store, where it's in the Venetian in Macau is -- we're finding and we're learning in both of these stores that primarily mainland Chinese customer where we've got a whole lot of marketing. The acceptance they've shown toward the brand is very, very encouraging. And the sizing that we have open this with an international business is being accepted very, very well. The Singapore store is in -- on Orchard Road in a mall, and the mall is still under construction. They're going to have a grand opening in the next few weeks. And I think we'll get a truer read on exactly what Singapore is going to look like. But it's a mix. It's a mix of expats and local Singapore people, and so we'll see on that. But these 2 stores that we've opened are based with both mall stores. The next 2, Hong Kong on Wan Chai is a street location and in Tokyo is a street location with a bar and a restaurant. So we wanted to and -- international expansion get as many diverse kind of stores opened so that we can get a read on what the future is and how -- where we start the expansion and how we go forward and open more stores over there. But I've got to tell you, everything that we plan to do, and everything we’ve plan for these stores that they're doing, and we're very encouraged about what we're seeing, so looking forward to continue bringing you up to speed on our international expansion. 
Operator: [Operator Instructions] We'll go next to Susan Sansbury with Miller Tabak. 
Susan Sansbury: I guess keeping on the international or Asian theme, if the Australian -- well, okay, why did you buy the Australian license? And if it's so small and maybe some of the valuation metrics or cash purchase price. Second question is, you just hired a senior VP in charge of international, does he have a name? And can you tell us about his background a little bit? And then have a third one. 
Terry Pillow: Yes, Susan, this is Terry. His name is Raymond, and the reason I didn't mention his name, I can't pronounce it. It's a -- he's a Frenchman. [indiscernible] I think, is the best. Every time that I mention he says, I don't quite have it right. He's been living in that market for 20 plus years, comes from a very great background in a lot of different businesses. Ferragamo. He run Ferragamo's Asian business. Lancel, he ran early in his career, Chanel, in the cosmetic side, early on in his career. So he was living in Shanghai and he's since relocated to Hong Kong because it's where were we are basically running business out of, but highly seasoned executive that’s really going to help us understanding that market. So we couldn't be happier about that. And on the Australian question, I'll let Doug, Doug is heavily involved in the acquisition, and I'll let Doug... 
Douglas Wood: I don't want to say we're not excited about it when I’ve compared the size, it really comes down to the materiality of how big of an impact to our sales. When you look at Australia as a market -- the entire country, the market's about the size of Southern California. And you've got -- today, we've got these 4 really small resort stores that are licensed, opened up over the last 5 years. When we went to the license, 5 years ago, we didn't have the infrastructure that we've now set up in Hong Kong to support an Asian store rollout. So really, it became a situation where we see an opportunity in Australia. We think we can actually grow the market to be much bigger than what it is today. It is in an international Australia -- especially a U.S. bid in Australia, so there's a lot of good things that I – we can immediately get some economies of scale going there. So though it's a growth opportunity. It's actually a business we know and it's already got some infrastructure. So it’s just really made business sense, financial sense, but also branding sense. 
Terry Pillow: And even though we said, this is Terry, again, so as even though we said the stores are smaller , absolutely beautiful. This partner we had over there really understood the brand and really opened very brand appropriate stores, very brand appropriate locations. So we've got a great history there and an infrastructure also [ph] of history that bodes well for the brand. 
Susan Sansbury: Does the partner or and/or the management team/store teams stay with you? And just in terms of timing, was the license up? Or was he running out of money? Or... 
Douglas Wood: We've actually -- we're still -- we've -- we bought back the assets, we kept the people. The licensee is actually – is now by wholesale rep and is -- we actually have a pressence in David Jones in Australia, and he has the relationship there. But mainly, a men's wholesale licensee and we're really underdeveloped in women's swim, women's sportswear, we do see a lot of opportunity there, and it's a market that -- Australians travel as a group. There's just a lot of good reasons why it made sense, and it allows us to now go into some markets that I don't know if our licensee really has the capital to expand the brand the way they needed to. 
Susan Sansbury: Okay. We got the senior VP, all right, I have 2 other questions and I'll be really quick. I was in the Westchester mall in White Plains and noticed that you're about to open a store there, which I think is great. Can you just refresh me in terms of the Tommy Bahama, the undie store, opening program for the balance of the year? And beyond Westchester, in this New York City metro region, what else is going to open? 
Terry Pillow: We just opened, this year, we -- knowing that we were going to open New York, it seemed to make sense, we've opened Garden State Mall. We’ve opened a store there. We've opened a King of Prussia, both of these -- and these are all in Q2, Susan. Eastern Town Center in Columbus, Ohio, with an additional store in St. Louis in the Galleria and we’ve opened the Houston Galleria in the quarter. Westchester, in the balance of the year, it will be Westchester, Chicago, Michigan Avenue, New York and then Hong Kong. We are excited that the store in Westchester is that bit of a smaller buildout, but it's still very ample to press to represent men's and women's appropriately, and we're very excited. We've looked at that mall for years, couldn't find the right space and we're able to take all divided up a couple of spaces there. If you saw that, you’d know who was in there and they've made room for us and we think we are a natural fit for that center. We think it's going to be good. Having said all of this, the new stores –we’re very encouraged with the new stores that we've opened this year. They've opened with very little marketing that we do in these towns to great success. So we're very happy about it and looking forward, we're looking at new stores every day and that we're trying to look at for '13 and '14. But rather than just look for spaces to look for spaces, we're trying to make sure that we get the right space because we're in this for the long-term. 
Susan Sansbury: Okay. Some other, Short Hills? Is it on in the agenda? Or are you still -- that's on the wish list? 
Terry Pillow: We've been wishing for 20 years to get in Short Hills. And we've ... in the 5 years that I've been here, we've had 2 spaces and we haven’t been able to put it together. But we need a bigger space in Short Hills. And the spaces that we've been offered at just haven’t been -- that's one mall where we think we can be very, very successful. But we need space to really show women's and accessories, and men's and do the whole thing there. But we will get there. We're constantly talking to those people about getting in Short Hills. That's a natural for us. 
Susan Sansbury: All right. I know people are waiting. Just one final question, on Lilly Pulitzer. I may be wrong, but I think comps were down in the second quarter from the first. Is that a -- was that a comparison issue, an assortment issue or traffic issue, or am I totally wrong? 
Terry Pillow: The top increase was smaller in the second than in the first. Are you talking about the comp stores or the total sales? The total sales? 
Susan Sansbury: Right. I'm talking about comps. But also total sales, same comment. 
Terry Pillow: I don't think they were materially lower, Susan. The business has been extremely strong as we said, across all channels as wholesale, retail and... 
Susan Sansbury: Well, I may have my expectations may have been too high. I’m just asking. 
Thomas Chubb: Yes. You may be right. Maybe retail, the bricks and mortars were slightly higher in the first quarter of the comps, but they were still quite robust in the second quarter and the e-comm, which is part of the total direct-to-consumer has been very strong all year. And I think we're very pleased with the results. 
J. Lanier: And then those store openings have wow and exceeded our plan. 
Thomas Chubb: Absolutely, excellent point. 
Operator: And we'll take our next question from Mike Richardson with Sidoti. 
Michael Richardson: Actually, most of my questions have been answered, but I do have just one, quick one on Ben Sherman. You talked about sales and gross margin improvement there and I apologize if I've missed this, I'm just wondering how your thinking about sales there for the year? I think, on the last call, you had mention you were sort of playing them down, mid-single digits. 
Thomas Chubb: I think, that's right. They'll be somewhere down, just slightly, couple of points, I think, for the year, Mike. And that's the net impact of adding slightly less good distribution then bad distribution that we're subtracting. It's a bit of a --  give-and-take, where you're trying to move up the ladder and you're moving away from some less desirable distribution at the same time, you're trying to add better distribution. So we're actually growing in some areas, including direct-to-consumer where we're growing in both bricks and mortar stores and in e-commerce, which we only had for a couple of months last year, we'll have for the full year, this year. And then we're growing in some better wholesale distribution, but shrinking in some less desirable wholesale distribution. So you add all that up and then that is probably slightly down for the year. 
Operator: And at this time, I show no further questions. I'll like to turn the call back over to management for any additional or closing remarks. 
J. Lanier: Thank you, Jamie. In closing, I just like to say that our investment in our brands is significant, planned and purposeful. We are confident that we will execute our long-term strategy effectively and, as a result, deliver meaningful rewards to our shareholders. Thanks for your time and answers today and we’ll look forward to our next calls. 
Operator: And again that does conclude today's conference. We do thank you for your participation.